Operator: Good morning, and welcome to NIQ's Fourth Quarter and Full Year 2025 Earnings Call. [Operator Instructions] With that, I'd like to turn the call over to Will Lyons, Head of Investor Relations. Please go ahead.
William Lyons: Good morning, everyone, and welcome to NIQ's fourth quarter and full year 2025 earnings call. Joining me today are CEO, Jim Peck; CFO, Mike Burwell; and Chief Product Officer, Troy Treangen. Following Jim and Mike's prepared remarks, Jim, Mike and Troy will take your Q&A. As a reminder, our remarks today will include forward-looking statements. Actual results may differ materially from those contemplated by these forward-looking statements. Factors that could cause these results to differ materially are set forth in today's earnings press release. Any forward-looking statements that we make on this call are based on our assumptions as of today, and we undertake no obligation to update these statements as a result of new information or future events. Also, during this call, we will present both GAAP and certain non-GAAP financial measures. A reconciliation of non-GAAP to GAAP measures is included in today's earnings press release which is available on our IR website, investors.nielseniq.com. A replay of this call will also be available on our IR site. And unless otherwise noted, growth rates mentioned on this call are versus the comparable prior year period. And with that, I'll now hand the call over to Jim.
James Peck: Thank you, Will. Good morning, everyone, and thank you for joining us. 2025 was a defining year for NIQ. We entered the public markets and executed consistently against our profitable growth strategy and exceeded all key financial targets set at our IPO. 5.7% organic constant currency revenue growth, expanding adjusted EBITDA margins 320 basis points to nearly 22% generating $350 million of free cash flow in the back half and achieving free cash flow positive ahead of schedule. And we deleveraged to 3.25x EBITDA. These results demonstrate our strengthening business model and disciplined execution. For the balance of my remarks, I will address how NIQ is positioned to win in an AI world. I'll reinforce how AI strengthens NIQ in 3 ways: First, how our governed data mode and domain expertise make AI work for clients. AI models require precise governed data to power high stakes decisions across the enterprise. From pricing and assortment to innovation, trade allocation and advertising. This is exactly where NIQ operates. Second, how we're using AI to drive revenue growth and product innovation more deeply embedding at the application layer to serve clients. And third, our AI delivers structural operating efficiency across our business. First, the scale, breadth and depth of our data mode advantages us. We now cover $7.4 trillion in consumer spending worldwide. We aggregate consumer shopping data across offline and online sources, point-of-sale data from thousands of retailers and millions of stores across developed and emerging markets. Proprietary traditional trade data through our NIQ field network, digital commerce assets and the largest global e-receipt panel. Our Connect engine ingests codified, categorizes and enriches approximately 4 trillion data records per week, up from 3.1 trillion just a year ago. We generate substantial proprietary metadata across more than 240 million items and tens of millions of product attributes. This context layer is critical to client decision-making. It is continually refreshed, standardized and enriched to provide a current comparable view of consumer behavior. Beyond that, the proprietary and permission data we ingest and the intelligence we create are governed by long-standing agreements with retailers and manufacturers. These are not merely contractual arrangements. They reflect decades of trusted relationships and rigorous data stewardship. This governance framework defines how our most AI forward clients embed NIQ's decision grade intelligence directly into their pricing, innovation and operating management systems. It also reinforces NIQ as central to responsible enterprise-ready AI deployment. We enter client data and NIQ intelligence remain protected, permissioned and used only with explicit authorization. And as leading AI companies have acknowledged this week, domain embedded governed systems are essential for AI to work effectively. Strict governance principles also underpin our strategic partnerships with the likes of Microsoft, Google and Snowflake integrating NIQ intelligence into enterprise AI environment. As AI moves from insight generation to operational deployment, NIQ's trusted, governed data and domain expertise provide clients a decisive advantage securely turning intelligence into mission-critical action. This has been NIQ's strength for decades. We see measurable adoption across our largest clients. Client data consumption grew more than 30% year-over-year, a leading indicator of deeper workflow embedment. More than 60% of our top 50 clients adopted at least one AI native NIQ product, increasing platform penetration across our largest accounts. And adopters of NIQ AI products are growing their investment in NIQ 30% faster than nonadopters, demonstrating clear monetization leverage from AI integration. Put simply, increased AI adoption strengthens NIQ's role inside enterprise decision systems. Second, AI is driving meaningful revenue today and accelerating innovation across our platform. Total intelligence revenue grew 7.1% in organic constant currency in 2025, led by continued strength in EMEA and Americas. Retention and expansion remained strong with net dollar retention of 105%, gross retention of 98% and annualized subscription revenue growth of 6.6%, our seventh consecutive quarter above 6%. Several of our new capabilities are now growing at double-digit rates, reflecting strong client adoption. E-commerce is a clear example of this momentum. Revenue growth accelerated to 32% in 2025, and cross-sell penetration increased to 29% of intelligence clients, up from 19% last year. AI enabled us to expand our full view measurement capabilities including broader Amazon coverage and a new read into a large U.S. club retailer. We ended the year with more than 190 full view measurement clients and expect continued growth in 2026. In consumer panel, we delivered strong renewals and accelerated competitive share gains in Western Europe and Latin America. In the U.S., we expanded our omni shopper panel to an industry-leading 250,000 panelists with a clear path to scale further using AI. Panel revenue grew low double digits in 2025, and we are increasing investment in 2026 to expand coverage and capture additional market share. When paired with our measurement data, our panel assets power our differentiated full view value proposition. This was central to 8-figure renewals with several multinational consumer product companies, Full View anchors their pricing, promotion, assortment and category growth strategies across highly competitive markets. Also, our AI-powered analytics and forward-looking capabilities position us not just as a measurement provider, but as a transformation partner as clients move toward predictive and automated decision-making. We also saw a strong performance in adjacent and high-growth markets. In new verticals, AI enabled expansion in packaging and rapid scaling of our media offerings. Along with government and financial services, these verticals delivered mid-teens growth in 2025. Finally, SMB grew at high teen rates, supported by strong retention across geographies. We continue to scale AI-driven go-to-market capabilities, including expanding an AI agent pilot to 66 markets improving targeting and future growth potential. In activation, we're seeing the continued strong client adoption of our new Gen AI native offerings. BASES AI screener expanded to 209 categories and we more than doubled the client base to 36 in Q4. Client engagement increased as well with more than 1,000 innovations tested last year. BASES product developer adoption increased as well in Q4, and we cross sold 35 of our largest clients in 2025. This early success underscores the central role our AI platform plays in helping clients innovate and grow. While these AI solutions grow from a small base, our activation revenue was flat in 2025. This reflects varied project timing as some clients navigate an uneven landscape. However, retention is high and pipeline demand remains solid, reflecting growth potential, not displacement. In 2025, 78% of activation revenue came from clients that buy intelligence and 40% of our intelligence clients by activation, implying large cross-sell upside. In 2026, we've taken decisive action to capture this opportunity, strengthening activation leadership, sharpening go-to-market focus and embedding AI tools to improve pipeline management and conversion. Our data moat positions us at the forefront of AI innovation. For example, in 2026, we were evolving Discover into an AI-powered intelligence hub that recommends NIQ products, data and analysis tailored to specific client needs. In January, we beta launched our Agentic AI analyst feature in Discover, enabling natural language interaction across our data sets for more than 40 client personas, including pricing, distribution, account performance and shopper analysis. As engagement and cross-selling accelerate, we are evaluating new pricing models in 2026, These include usage-based approaches and an AI innovation index that better align pricing with the value we create. So our proprietary permission data is becoming more essential. Our applications are becoming smarter, our workflow is more automated. As AI embed into enterprise decision systems where clients have billions of dollars at stake, NIQ becomes even more mission-critical. The third benefit to NIQ is also taking shape, measurable cost efficiency. As previewed in November, we accelerated the use of advanced technologies, including AI to drive operational excellence. For example, AI-assisted automation and data operations reduces manual effort and improves quality. In Germany, Agentic AI now codes tens of thousands of products in hours instead of days cutting data costs by nearly 70% and accelerated our product insights launch to 4 new European markets. AI tools and engineering delivers roughly a 10% productivity uplift and 25% faster time to market in pilot programs allowing us to scale output across more than 2,200 engineers without adding headcount and directly supporting margin expansion. In sales, AI enables sellers with 40% faster access to sales materials, reduced time to proposals, better pipeline management, and less administrative workload. This is increasing time spent selling and we see ample opportunity to further optimize our sales motions in 2026. In customer support, we upgraded AI search across 3,000-plus documents and expanded AI-assisted ticket resolution cutting manual workload by 17% and improving response times and quality. While driving 81% self-serve via NIQ service suite, and we are also continuing to deploy AI tools across finance, legal and HR to automate repeatable work. AI is driving structural cost efficiencies, underpinning our confidence in continued margin and free cash flow expansion in 2026 and beyond, which brings me to our new 2026 cost optimization program announced today, these actions signal a prominent next phase for NIQ, reflecting our commitment to leveraging AI, automation, advanced digital tools and data-driven processes to streamline operations, enhance agility and reinforce competitive advantages. While this program increases onetime investments in 2026, the result is a structurally stronger margin profile and a greater free cash flow over time. As free cash flow ramps in 2026, our capital allocation philosophy remains consistent. Prioritizing deleveraging while investing for durable growth. We will also continue to pursue targeted accretive tuck-in acquisitions that advance our strategic growth priorities, complement our product road map and expand our geographic footprint. We will maintain our disciplined growth-oriented CapEx at 6.5% to 7% of revenue focused on panel expansion, platform enhancements and AI capabilities. Looking ahead, our 2026 strategic priorities are clear. Execute our revenue growth algorithm, advance areas of strength, invest prudently and drive the next phase of AI benefits. Mike will discuss our 2026 outlook in more detail, but highlights include a 5-plus percent organic revenue growth, meaningful adjusted EBITDA margin expansion to more than 23.5%, $235 million to $250 million of levered free cash flow. And continued deleverage towards sub-3x by the end of 2026. Intelligence growth remains durable, activation returns to growth. AI becomes increasingly embedded both in our revenue engine and our cost structure. In closing, 2025 was an inflection point. We strengthened our growth, expanded margins, generated positive free cash flow and strengthened our balance sheet and advance our AI leadership. Before I turn the call over to Mike, I want to acknowledge Tracey Massey's decision to step down as COO for personal reasons. Over the past several years, Tracey strengthened our client-focused commercial organization and will continue to act as a trusted adviser to me and the rest of the management team. I want to thank Tracey for her contributions. I'm taking this opportunity to step further into the business, and I remain fully committed to driving its continued success. We're streamlining our operating motion as we enter 2026 with a strong unified leadership team and clear momentum. I want to thank NIQ associates worldwide for their expertise and dedication in 2025. I look forward to what we're going to achieve together in 2026. With that, I'll turn it over to Mike.
Michael Burwell: Thanks, Jim, and good morning, everyone. 2025 was a strong year with 5.7% growth, margins expanding to nearly 22% and $315 million of back half free cash flow, achieving free cash flow positively ahead of schedule. We exceeded the guidance we provided at our IPO and in November. We also strengthened our balance sheet through debt repayment and reduced leverage. Our 2026 guidance builds on this momentum, reflecting accelerated technology, adoption and continued progress on growth, margins, free cash flow and deleveraging. As we dig into our Q4 results, our Q4 organic constant currency revenue grew 5.7% to $1.1 billion. Adjusted EBITDA growth accelerated to 30% to $289.2 million, and we expanded adjusted EBITDA margin by 410 basis points to 25.4%, driven by profitable revenue growth, GfK’ integration and early AI-driven efficiencies. From a segment perspective, EMEA was our strongest performing region with intelligence driving renewals, value-based pricing, cross-sell, upsell and continued expansion into new verticals. EMEA grew 7.5% on an organic constant currency basis. Americas grew 5.7% supported by broad-based intelligence momentum. APAC grew modestly at 1.2%, and we're optimistic about the 2026 as our investments in retailer relationships and data coverage take hold. From a product perspective, total intelligence revenue grew 7.7% in organic constant currency. Annualized intelligence subscription revenue increased 6.6% marking our seventh consecutive quarter of 6%-plus growth. Our net dollar retention and gross dollar retention at 105% and 98%, respectively, underscore the durability of our revenue algorithm and the mission criticality of our solutions. Our highly recurring activation revenue remains sticky with strong retention. While project timing remains varied, our new AI products are growing. As Jim noted earlier, we've also taken decisive actions to further improve growth in 2026. Now I'll walk you through the details of our P&L. On expenses, our Q4 total expenses were roughly flat, driven by continued cost discipline, operational efficiencies and lower restructuring costs. OpEx grew only 1% for the full year and were flat excluding the onetime stock-based comp charge in Q3 related to our initial public offering. Total onetime and restructuring costs were $53 million in Q4. Full year onetime costs were $136 million, in line with our IPO guidance. Depreciation and amortization was $163 million for the quarter and $632 million for the year, approximately 14% of our revenue. The increase is primarily driven by changes in foreign currency, and to a lesser extent, higher amortization from our 2025 M&A. As I look below the operating line, Q4 GAAP interest expense was $60.7 million, driven by lower debt balances from our IPO and our 3 successful debt refinancings in the past 18 months. Our Q4 changes in foreign currency resulted in a $7.7 million gain in the period versus a $31.3 million loss last year, driven primarily by remeasurement of our debt obligations held in foreign currencies. Our Q4 income tax expense was $54.2 million or approximately 15% of adjusted EBITDA in 2025, in line with our IPO expectations. Full year 2025 net loss and adjusted net loss improved by $445 million and $211 million on a year-over-year basis, respectively, reaching positive adjusted net income of $61.9 million. As I turn to liquidity, we finished 2025 with cash and cash equivalents of $518.8 million as well as $750 million of revolver capacity for $1.3 billion of total liquidity. And I'll remind everyone that Q1 is seasonally lowest point for us from a cash flow standpoint, primarily due to the timing of certain tech vendor payments as well as variable compensation payments. Our term loans totaled USD 3.6 billion at the end of Q4. We have hedged roughly 80% and have an all-in weighted average rate of approximately 5.4% as spreads decreased during the period. Turning to free cash flow. Q4 cash provided by operating activities was $188.7 million, up more than $120 million versus 2024 from higher profitability and lower interest expense. CapEx was $262.9 million or 6.3% of revenue, down from 7.5% last year. Approximately 70% remains focused on long-term growth including consumer panels, platform and AI. We delivered $90.9 million of levered free cash flow in Q4 and $315 million in the back half, exceeding the top end of our guidance by $40 million, driven by strong EBITDA flow-through and improved working capital. We ended the year at 3.25 net leverage ahead of our 3.5 target. In 2026, our capital allocation philosophy remains disciplined and balanced. We continue to prioritize deleveraging, while selectively reinvesting in high-return growth areas. Now turning to our guidance. For the first quarter, we expect reported revenue growth of approximately 8.6% to 8.9%. We expect organic constant currency revenue growth of approximately 4.5% to 4.8% consistent with the durable growth algorithm outlined at our IPO. Adjusted EBITDA growth of approximately 16% to 18% and applied adjusted EBITDA margin of 20.9% to 21.1% approximately 150 basis points on a year-over-year basis. Adjusted earnings per share of $0.08 to $0.10, improving from a $0.05 loss in Q1 of 2025. Turning to the full year. We expect reported revenue growth of approximately 5.7% to 6%. We expect organic constant currency revenue growth of approximately 5% to 5.3%. Adjusted EBITDA growth of 14% to 16%, driven by operating leverage. Adjusted EBITDA margin of 23.5% to 23.8%, approximately 200 basis points of year-over-year expansion at the midpoint, ahead of our IPO guidance. Adjusted earnings per share of $0.95 to $0.99, up from $0.23 in 2025. Levered free cash flow of approximately $235 million to $250 million, also ahead of our IPO target and net leverage tracking to below 3x by the year-end. To further support modeling assumptions, we expect depreciation and amortization of $614 million to $619 million or approximately 14% of revenue. GAAP net interest expense of $230 million to $235 million, down from $317.6 million in 2025. As a reminder, GAAP net interest expense includes interest on our term loans and other obligations as well as amortization of debt issuance costs and the discount on our debt. Income tax expense of $165 million to $170 million or roughly 16% of adjusted EBITDA, diluted share count of approximately 300 million, consistent with our IPO assumptions. CapEx of approximately 6.5% to 7% of revenue. Lastly, some comments on the 2026 cost optimization program. We exceeded expectations at the IPO and are launching this program from a position of strength. It is incremental to the restructuring actions outlined at the IPO, accelerates progress towards our midterm targets and increases free cash flow capacity beginning in 2027. We've already begun executing organizational changes to reduce complexity and improve agility and efficiency. We expect $55 million to $65 million of annual run rate cost savings versus our 2025 expense base, with the majority realized within 1 year. The program is self-funded with total cost of $50 million to $60 million, largely cash. Actions are front-half-weighted in 2026 with margin and free cash flow benefits building through the back half and into 2027. For transparency, costs were reported in a separate 2026 program expense line with certain costs excluded from adjusted results consistent with prior restructuring actions. Based on this program, we continue to see additional efficiency opportunities. The capacity created enables selective reinvestment and strategic priorities while continuing to expand adjusted EBITDA margins and free cash flow. In conclusion, we are pleased with our performance and confident in our 2026 outlook. With that, operator, ready to open the call for Q&A.
Operator: [Operator Instructions] And your first question comes from Manav Patnaik with Barclays.
Manav Patnaik: Jim, I just wanted to touch on like the data problems question basically. I think you used the word government data, Thomson Reuters CEO earlier this week used the word fiduciary data. So I just wondered if you can double click on the importance of that. And also, you talked about the relationship with the retailers and manufacturers. Just how I guess the question we get is, could those clients give their data to new competitors basically.
James Peck: Yes. So okay. Manav, with regards to the words governed or fiduciary or stewardship, I think the world kind of underestimates just how important that is. And we have relationships with literally tens of thousands of providers, let's say, retailers and others, some big, some small, that have evolved over time. And the way -- the reason they're trusted is they aren't really interested in just giving their data to anybody because they don't want to be exposed. And so we have very sophisticated methods of understanding where they feel like they have entitlement issues or their own governance, and we're able to put those in place across all the jurisdictions that we serve. And so having that trusted or governed intelligence layer is something that has taken time to build not only from, let's say, a technical standpoint but also from a relationship standpoint. And I think it's fair to say not ever easily replicable in any short period of time. And I think that was even acknowledged this week. As you know, a lot of the AI companies are speaking about this. And what struck me is they acknowledge that domain enabled, which means you actually understand what you're trying to do with the client, governed systems are essential to AI working effectively. And that's exactly what we do. We understand both our customers and the people who provide, let's say, we understand what their concerns are relative to access to information and governing information. We understand how it fits in our clients' workflows. So we make sure they're able to use it appropriately and correctly. And then we deliver those insights to them right into their workflow. So we're really deeply embedded into those workflows. We could jump in deeper here. I'll maybe let you guide me. We have our Chief Product Officer on the phone. If you would like to get us to talk a little more about how we -- what we do with the information and how we deliver to clients, we can do that or I can let you -- I'll pause for another question.
Manav Patnaik: Yes. I mean I think that's fine. Maybe I'll save that for someone to follow up. But the other question I had was you obviously gave a bunch of examples on how AI is helping your -- I guess, your revenue pipeline. I was just hoping what are the puts and takes to that? A lot of the questions you get is this could be at least deflationary pressure from all the AI technology out there. So maybe just remind us of what you think pricing is today and how that plays a role going forward as well?
James Peck: Sure. So given some of the data on our net dollar retention and even just our growth, you can tell we're not experiencing any pricing pressure, certainly not any related to AI. And I think you're asking me about what -- how does that AI drive our revenue maybe. But it does underpin most all of our revenue given that we've been using AI or various analytics delivery sites to our clients for many, many years now. So it's embedded in our offering that supports our retention, it sports cross-sell, upsell. But in the very, very short run, what we're doing now is -- which shows financial impact, it's actually helping with our margin expansion. And we're stepping into having it be more discrete revenue line items. So we're certainly not seeing any revenue compression associated with it.
Michael Burwell: And Manav, I would just add to Jim's comments. When you look back at our net dollar retention at 105 and our gross dollar retention at 98%, and our subscription growth continues, it's been about 6% for the last 7 quarters. I guess to me, Manav, I guess I just point to that fact in terms of what that means from a from pricing standpoint.
Operator: Your next question comes from the line of Alexander Hess with JPMorgan.
Alexander EM Hess: Jim, Mike, I want to start with the 30% call out in the prepared remarks on data consumption increases. Maybe you could walk us through how you define that, what's included in that and what that says about the state of your business today just as a starting point?
James Peck: Yes. So I think you're asking for a particular formula on how we're...
Alexander EM Hess: I think I'm just asking like what's the -- what is that -- what should that signal to the market about the state of your business and the level of demand you're seeing amidst all of the current discussions around AI, around newly public so people are still learning you guys? Like what does that 30% number really tell?
James Peck: Yes. So what it's telling us is that as the world continues to move forward at the rate it's moving forward, the demand for our data is just increasing. There's not some kind of -- and it's not just our data. It's our insights and it's how we're delivering it to our clients and how we're embedding ourselves in their workflows. So there's not some kind of demand problem. And I'm anxious to get Troy a little bit involved in this conversation. Troy, why don't you share your view? Troy, we can't hear you.
Troy Treangen: [Technical Difficulty]
James Peck: I think we're having some technical issues there with Troy.
Alexander EM Hess: That's all right. But maybe you can also -- as we look at the -- into '26, you could touch on. It sounds like you've spoken to taking this restructuring action from a position of strength. But sort of what signals are you seeing in the market that are telling you that here and now is the time to be undertaking an incremental restructuring program. And I know you guys have said what this will mean for you fundamentally on the financials coming out of this, but operationally, and this is sort of done what should investors sort of be watching for the signs that this is a high ROI project?
James Peck: Yes. So regarding the restructuring, I don't know if it's an external market signal. It's something that we've been pursuing internally, and we'll always continue to pursue internally is getting more and more efficient. I think we had a fundamental step change in using AI internally that we probably didn't realize at the very beginning of the year last year, right? We didn't realize how fast we were going to be able to get there. And so we're -- the money we're using for the restructuring is really about severance and taking the people out of our cost structure associated with being much more efficient. And it pays off all in the year so it's an easy ROI decision to make, right? And I make it every time. And I'd make it again because we're returning -- we're really getting the return this year.
Alexander EM Hess: So it sounds like net-net, you're seeing AI benefits both on the top line and through demand and on the expense line through incremental efficiency opportunities I think it's quite -- that seems pretty straightforward to me. Just maybe if you'll permit a quick follow-up for those 2 questions. Is there anything you think that the market right now doesn't understand. Obviously, there is this narrative of data companies AI losers. Manav asked about this. Just anything else you want the market to sort of understand about your positioning entering '26.
James Peck: I think -- well, I think I said it all in my notes, but I'll just reaffirm that we feel like we're very much on our front foot with regards to the question you just asked and the question du jour the question of the day on AI. And I think -- I'm going to say it again, I think I don't want to put it in my own words. I'll put it in the words of the people who are the LLM companies. They acknowledge that domain enabled governed systems are essential to AI working effectively. So domain enabled so we understand how our customers work. We're deeply embedded in our customers' workflows. They're not just plucking our data from nowhere. It's embedded in what they do. The data -- they can be assured that they're using data that is allowed to be used for the uses that it's been used for that it's correct. And that is all essential for any analytics to work effectively and, of course, AI. So I think we're just kind of right in the very good sweet spot of having the data that fuels this stuff, having the capabilities to apply to the data and then ensuring that the data is protected and governed appropriately. So they're effectively not doing anything wrong that they shouldn't be with it.
Operator: Your next question comes from the line of Kevin McVeigh with UBS.
Kevin McVeigh: Congratulations on the results. You had a comment on kind of clients shifting from insight to operational deployment. Is that shifting the workflow or consumption in terms of how they're using the NIQ data. It's just pretty interesting because obviously, you're seeing accelerated adoption. But just anything from a behavioral perspective is you're shifting from insight to deployment.
James Peck: Yes. So the way I look at it, we're working with our biggest clients. We actually call them builders of AI, right, because they're not just users, they're going to build things internally. And we are working with them to even more deeply penetrate our data into their workflows and helping them understand how our data can even unlock more value. And I should really say our data and analytics, unlocking more value across their whole set of operations so connecting their innovation to their supply chains, to their pricing. It's just embedding us more deeply into their workflows. And that's what we're seeing.
Kevin McVeigh: That's super helpful. And then just 1 quick for Mike. Obviously, the restructuring -- the cash flow component. So I mean the free cash flow guidance would have been even that much stronger, if not for the $55 million to $65 million, right? So if you adjust for that, it would have been kind of $290 million to $310 million, something like that.
Michael Burwell: Yes. That's right, Kevin. I mean, we -- that's inclusive of it. But as Jim said, we look at that 1-year return to it. So you're going to see that additional cash flow inflection continue into 2027 and beyond, yes.
Operator: Your next question comes from the line of Curtis Nagle with Bank of America.
Curtis Nagle: Great. So just thinking about the org rev guide, maybe any commentary you can give in terms of how to think about performance by region, generally in line with '25, should we think maybe North America catches up a little bit relative to EMEA, even just on comps. But yes, any way you can kind of disaggregate that and give any thoughts would be helpful.
James Peck: Sure. So Curt, look, we don't give guidance specifically related to it. I know you're trying to get some indication of it. I think the trends that you're seeing I think makes sense as it relates to North America and EMEA. We're continuing to make investments as Jim and I both mentioned as it relates to APAC in terms of our coverage that we would look to continue to see progress moving in that direction. But I think if you kind of look at those trend lines that you've seen in each of those regions, I think those are pretty good views as we're really guiding overall in terms of thinking about it.
Curtis Nagle: Okay. And then maybe just a very quick follow-up on the restructuring. Just in terms of, I guess, the flow through, right, from your restructuring actions, what should we expect in terms of realization, right, in '26? I know you'll be at a $60 million run rate by the end of the year. But yes, anything more you could talk to the actual flow through kind of as the year progresses?
James Peck: Sure. When we looked at the restructuring itself, if you look at it in our guidance, we said roughly 200 basis points improvement in our margins is the guidance that we had from '25 to '26. And just a reminder, back, that's about $80 million above our IPO model and $50 million above the latest consensus. When we look at that, that's roughly about 140 basis points is coming from the restructuring action and the rest from our continued operating performance. So look, the revenue beat a big piece of that has been driven from a reported standpoint as it relates to FX, and it doesn't necessarily flow through on a one-on-one basis. So just kind of repeating back, we're -- that's what we're looking at. We also try to be -- put numbers out there that we make sure we believe that we hit in terms of our overall guidance. And as you can see from our history here, we're trying to make sure we put in a beat-and-raise cadence in terms of thinking about how we give guidance. Hopefully, Curt, that's helpful.
Operator: Your next question comes from the line of Ashish Sabadra with RBC Capital Markets.
Ashish Sabadra: I just wanted to focus on the full view measurement. You talked about some really good significant progress there with 190 clients. Can you talk about the pipeline, also initial feedback from the clients that have already adopted but also a pipeline for that product going forward?
James Peck: Yes. So the full view measure is our way of describing a view of the customer shopping behavior across all channels. And a significant part of that is our Amazon read, which we have at a very detailed level that no one else have and certain, let's say, club purchasing that goes on combined with our omni shopper panel combined, which is demographic data, combined with other panel data that we have on e-commerce. And so what we're able to provide our clients is the full view of consumer shopping behavior, which is exactly what they want because they want to understand what's happening at a very detailed level across the market and then they want to understand what's happening specifically in what store and what city and then how they can link that to demographic information so they can understand, for example, not only how -- I don't know, let's say there's spaghetti sauce is selling, but they're also trying to understand why is it selling that way and to who is it selling that way. And so we're able to get down into that level of detail and then even compare it to what else is going on in the market so they can understand they have new competition, if they have pricing issues, if they have promotion issues. So that's why it's really taken off, not only for manufacturers, but also for retailers who are also trying to understand the same thing. And so we of course are getting incremental revenue from that and it's also just reaffirming the massive need our clients have for as much detailed level data as they can. I know I went on a little there. I think Troy is back. Troy, would you want to add anything to that?
Troy Treangen: Yes. I want to add just one thing on full view measurement. So it's not just a U.S.-only thing. It is a global product strategy that we have. And what we do is we combine retail measurement data with consumer behavior data from our panels, including E-receipt data and other alternative methods to ultimately figure out who buys, where they shop and what behavior shifts happen. So to Jim's comments that he just mentioned is we want -- we deliver signals to clients at very granular levels to be able to activate against those consumer shifts. And that's ultimately the objective. We have many clients today like I think it was mentioned, 190 clients today, and the pipeline is very strong. And like I said, it's not only U.S., it's many, many markets across the world that we're combining all those assets to give that full view.
Ashish Sabadra: That's great color. And maybe just as a follow-up on the activation side. You talked about some impact from the project timing and the pipeline obviously continues to remain really strong. Can you talk about how we should think about the activation trends in '26.
James Peck: Sure. Yes. So we -- what we alluded to in activation was our -- I think you could say last year, our clients were kind of trying to figure out where to spend their money. And as you know, we have a broad offering across a broad portfolio of activation solutions. And as they were doing that, we're -- we can control what we can control. So we could control our ability to execute, we can control how we go to market, but we can't necessarily control our clients' ability to execute and sometimes we're dependent on them for data or dependent on them for expected outcomes. And there -- I think it's fair to say there's a little confusion on where they wanted to spend the money. But right now, the pipeline is strong. We have very clear visibility into that. We know the demand is there. We have taken some steps heading into '26, strengthening the leadership, strengthening in our go-to-market. I'm not just saying this because it's got the word AI in it, actually using AI to help us streamline our processes and be able to execute more quickly, which all is under our control and which affects our revenue. So I think the base of your question though is probably about demand and our pipeline is strong. And we're feeling good about the business going forward.
Operator: Your next question comes from the line of Kyle Peterson with Needham & Company.
Kyle Peterson: Great. I wanted to start out on panels business. It seems like that remains a real bright spot for you guys. So just any more color there on what has driven kind of that sustained outperformance? And do you think there's still a good amount of runway there where it can be growing faster than the rest of the business? Just any more context there would be really helpful.
James Peck: Yes. So our panel business is global. And so it's global and local at the same time, right? So we're addressing many different countries, but it is a country-by-country build of our consumer panel. What we have that no one else really has is the market data or the RMS data integrated with the panel data. And as Troy just described, we can tell what's going on broadly in the market, and then we can deep dive down into specifically what's causing that to happen by understanding the actual people who are doing the buying, right, because that's our consumer panel. So last year, we've integrated those things into our Discover platform. And that's what's driving the demand. So it's exactly what our customers have said they've always wanted, and we put it in place and now we're just reaping the benefits of that.
Kyle Peterson: Great. That's really helpful. And then I guess just a follow-up here. I wanted to ask on the APAC region. I know the growth there has been a little more lackluster. So I guess just is -- how should we think about a return back to growth that's more in line with Americas and EMEA there? Or in what initiatives either need to happen or macro impacts, just how should we think about the path back to maybe mid-single-digit growth in that geo?
James Peck: Yes. So first of all, in our guidance, we haven't assumed some type of huge comeback, okay? We're reflecting a more steady come back. So we don't have that risk in our plan. So I just -- I think that's important to note. And APAC, of course, is not just one thing. It's a diverse set of many countries and cultures that we're serving. And certainly, India and China still are big, big opportunities for us. And we're just -- what we're -- the plan is, it's just to steadily address our coverage in each of those markets. And get ourselves engaged in the quick -- what's it called, Troy.
Troy Treangen: Quick commerce.
James Peck: Quick commerce. I keep calling quick marketing. But quick commerce that's happening, especially in India, but also in China. And so we've had to just make some more, I think, we changed the leadership. I mean just like we do anywhere else, we had to steadily go and create relationships with the right companies and show them we're adding value and increasing our coverage. And so I think just by doing that, you're going to see a nice click up. And we're not doing this in a vacuum. We're doing this with our clients big and small in the region, we're saying this is what we need to do better business ourselves in China or to do better business ourselves in India or Korea or Vietnam. And I think I would say that we were just a little behind where we were in some of the other countries, getting our coverage and even our analytics capabilities on top of that where they need to be. But we have a very clear plan right now, we're executing it.
Operator: Your next question comes from the line of Andrew Nicholas with William Blair.
Andrew Nicholas: I wanted to hone in on guidance a little bit further. I think OCC growth expectations, 5%, 5.3% obviously encouraging and a good number. But looking at intelligence, it looks like the annualized intelligence subscription revenue has been growing 6% to 7%. And so I'm just wondering if I hear you on the activation front and the project timing and the pipeline. But is it fair for us to think about activations acceleration or recovery being incremental to the current outlook? Or just kind of how we should think about conservatism from that light because intelligence has been really, really strong over the past couple of quarters.
James Peck: Yes. So I -- we'll just speak generally about our guidance approach, and I think those of you who know me, we guide to what we feel very certain of. Some might call it conservative, but we're -- that's the pattern that you've seen from me and you've seen from the company already. And so you can -- that's the same philosophy that we head into this year with. And I think I had to say that any one specific thing is incremental to our guidance. I don't -- I think I would just say the overall approach we have, I'll come back to what I just add is to do what we say we're going to do. We certainly are incented on higher numbers. We're certainly incented on higher activation numbers than you might see reflected in our guidance. But what we're guiding to is what we're comfortable with.
Andrew Nicholas: Makes sense. And then for my second question, just hoping you could kind of help us frame the growth of GfK in 2025. It's been a part of your business since acquiring it in '23 that has consistently accelerated year-to-year. Can you talk about how '25 kind of wrapped up and holistically, how you're thinking about that over the next couple of years?
James Peck: Sure. So GfK, as you know, way back when, this is a long time ago. We had quite a bit of a period where we were under examination from the European Union. And so they came out of the gates pretty weak in '23, '24. We got them back to good growth in '25. And we're planning on seeing the same kind of performance in '26. So good contribution, good customer demand, same kind of customer demand that you have in tech and durables that you have in the CPG client base. There is an interesting demand there for some of our activation tools, which these clients have never had access to. And so we're kind of working on that and ramping that up as well.
Operator: Your next question comes from the line of Jason Haas with Wells Fargo.
Jason Haas: I'm curious if you're seeing a trend of clients maybe still buying your data but consuming it more through their own tools or third-party tools. And then I'm curious your philosophy on where you're putting your incremental investment dollars. Are you still planning to invest heavily on the activation side to improve those analytical tools? Or does it make sense to really focus more on the data side and building out those proprietary data sets.
James Peck: Yes. So I started to think about your second part of your question before I lost the first part. Can you repeat the first part again?
Jason Haas: Yes, they are somewhat tied together, but I'm curious if you're seeing a trend of clients consuming the data more through...
James Peck: Like I said, we have a set of clients. I like the persona we give them as they're the builders. They're going to have the money, the capital to try and figure out how to stitch together all the different parts of their operations. And we're right there with them as they work with different providers who help them with their back-end data integration matters. And what we're seeing is they're asking us to help them understand how they can integrate, help them understand how they can leverage our data even more as they link together. Let's say, hey, they come up with a really interesting innovation, but they didn't do the work to understand their supply chain could actually build the product. And so we're -- that's just one example of how we're getting more involved in their workflows, trying to stitch those 2 things together to say and get to market much faster. So I'd say we're learning with them as they go. And we are creating relationships with the companies you'd expect us to who they're going to use, whether it's for their data integration needs or their AI needs. And so we're just right in the middle of their ecosystem and we're learning with them, which is of course, helping us not only apply that to them, but then we can understand how the midsized players who can't really afford to do that kind of stuff, how we can help them use products like our Discover platform even more effectively. Of course, we're integrating our AI capabilities into Discover as we speak. And then the second question was...
Jason Haas: I think you answered it pretty well. Is there -- I guess, one part on the first one, is there a trend where you're seeing your clients increasingly use some of these third-party tools to analyze the data. Has that been a shift that's taking place?
James Peck: No, no. No -- if anything, they do like working with 1 provider who they know knows them. And when they do use alternative providers, it's usually not -- it's something we don't do, right? But they do need us to help them very often with doing -- the data is quite complex and understanding the context for it is really important. And I'll get back to this AI comment. That's exactly what the LLM guys were saying if we don't understand the data and we don't understand the context, our AIs doesn't work and if we don't have the data. So we need these players like Nielsen IQ and others to make AI work effectively. And so we're not really seeing a shift away from us. We're just -- actually, we're seeing more of, hey, can you help us?
Jason Haas: Okay. That's great to hear. And if I could add a follow-up question. I'm just curious on how you think about the pace of organic growth through the year because the guidance seems to imply a softer start and then an acceleration through the year. So can you just talk about what drives that acceleration?
James Peck: Yes. Mike, do you want to take that one?
Michael Burwell: Sure. So Jason, we said from a guidance standpoint, as Jim said, we want to make sure we know exactly what's happening, what we see is we get a lot of our renewals that are done in the first quarter. And then we have greater visibility to those through the rest of the year. So that's what you see is a little bit lower number in our guide in Q1 and then really you're seeing accelerate over the second half of the year.
Operator: That's all the time we have for questions today. I will now turn it back over to Jim for closing comments.
James Peck: Yes. Okay. So thanks, everybody, for joining us today. We're excited about our progress and looking forward to another good run in 2026. And I'd just like to thank our clients, everyone who works with us and our investors, and we look forward to seeing you again in May. Bye-bye.
Operator: Ladies and gentlemen, that does conclude today's conference call. Thank you for your participation, and you may now disconnect.